Operator: Good day, ladies and gentlemen. Welcome to the CAE Second Quarter Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Andrew Arnovitz. Please go ahead.
Andrew Arnovitz: Good afternoon everyone, and thanks for joining us today. Before we begin, I’d like to remind you that today’s remarks, including management’s outlook and answers to questions contain forward-looking statements. These forward-looking statements represent our expectations as of today, November 10, 2022, and accordingly, are subject to change. Such statements are based on assumptions that may not materialize and are subject to risks and uncertainties. Actual results may differ materially, and listeners are cautioned not to place undue reliance on these forward-looking statements. A description of the risks, factors and assumptions that may affect future results is contained in CAE’s annual MD&A, available on our corporate website, and in our filings with the Canadian Securities Administrators on SEDAR and the US Securities and Exchange Commission on EDGAR. On the call with me this afternoon, are Marc Parent, CAE’s President and Chief Executive Officer; and Sonya Branco, our Chief Financial Officer. After the remarks from Marc and Sonya, we’ll open the call for questions from financial analysts. At the conclusion of that segment period, we’ll open the lines to members of the media. Let me now turn the call over to Marc.
Marc Parent: Thank you, Andrew, and good afternoon to everyone joining us on the call. We had strong performance in the second quarter, led by double-digit growth in Civil and sequentially better results in Defense. We also delivered another quarter of double-digit revenue growth in Healthcare with higher profitability. We continued to secure CAE’s future with nearly $1.3 billion in total orders for a record $10.6 billion adjusted backlog and 1.30 times book-to-sales ratio. In Civil, we made excellent progress, converting our large opportunities pipeline into $751 million of orders, resulting in a 1.48 times book-to-sales ratio. This is especially impressive considering that revenue is 40% higher than last year. Orders include long-term training agreements with airlines and business aircraft operators, including a new 15-year pilot training and operations agreement with Qantas, one of the world’s most renowned airlines, and like CAE, a name synonymous with safety. We also secured training agreements with Virgin Australia, JetSmart Airlines, DHL Air UK, and American Airlines. Demand for full-flight simulators was robust with 18 sales in the quarter. We’ve sold another 5 full-flight simulators and actually bringing our total year-to-date tally to 29. Since the end of the quarter, we’ve sold another five full-flight simulators, for a total of 34 sales since the start of the fiscal year. Civil’s financial and operational performance was also strong in the second quarter with double digit growth across all metrics. We delivered 10 full-flight simulators in the quarter and average training centre utilization was 66%, up from 53% last year. This reflects the air traffic recovery in select regions and a measure of summer seasonality. Commercial aviation training demand in the Americas continued to be very strong, while Europe was seasonally lower on a sequential basis. In Asia, the reopening of Japan has been a positive catalyst, but the region overall remained well below pre-pandemic levels, due to the ongoing travel restrictions in China. In business aviation, training demand continued to be robust throughout our network reflecting a high level of pilot training to support business aircraft flight activity, which has shown signs of stabilization at approximately 20% above pre-pandemic levels. In defense, as we've been saying for some time, the earliest signs of our progress towards a larger and more profitable business is order intake, and testament to that this past quarter marks another step in the right direction. We booked orders for training and mission support solutions valued at $500 billion for a 1.13 times book to sales, which marks the fifth consecutive quarter that this ratio has been above one and situates us with a book-to-sales ratio of 1.33 times on a trailing 12-month basis. Without sustaining higher order intake replenishing our backlog with new and more profitable defense contracts. Defense quarters this quarter reflect our capabilities across all five battle space domains. In the air domain -- we signed a contract with Piaggio Aerospace for the P180 Avanti full flight simulator for the Italian Air Force and we expanded our relationship with Lockheed Martin for system trainers and modifications evolving C-130 platforms. A key tenet of our strategy is to develop strategic relationships with platform OEMs. And these agreements in addition to our recently announced MoU with Boeing for global collaboration are notable signs of progress. In the land domain, we expanded our capabilities with a prototype development award under the US Army Soldier Virtual Trainer contract. A component of the synthetic training environment at the soldier virtual trade contract, or SVT continues the expansion of synthetic training environments with a platform to empower soldier-led trend. Defense also won a contract in the sea domain with the platforms and system training contracts to support the Royal Australian Navy and this program is strategically significant in the context of Australia's its modernization priorities in light of geopolitical tensions in the Indo-Pacific region Under a five-year agreement, we'll be supporting the future training transformation of Royal Air Navy Mariners across four platforms On Site, In Port NSC. We're leveraging our experience training marines worldwide including the US Navy on multiple naval aircraft platforms bridge training for the literal combat ship and the US Army Maritime integrated training system. In the space and cyber domains, we received additional awards from our key space and missile defense customer along with cyber technology updates on our core platforms and systems from various customers within the US Department of Defense. Our unique combination of experience, digital technology and subject matter expertise also provided new opportunity this quarter with strategic customers for prototype development. They include an authorization from the Air Force Research Lab to develop and demonstrate innovative, mission effective, unmanned air vehicle capability to assist with an man-unmanned teaming along within the aviation mission planning prototype for a sensitive customer. Both US national defense priorities and leverage capabilities across CAE's business units. Our financial performance for defense in the quarter improved sequentially consistent with our expectations. This performance is a result of our heightened operational focus in the face of the challenges that we highlighted last quarter, namely the prevailing supply chain and labor headwinds and order delays, all of which are pervasive across the defense sector and broader economy. With that, I'll now turn the call over to Sonya, who will provide additional details about our financial performance. Sonya?
Sonya Branco: Thanks, Marc, and good afternoon, everyone. Consolidated revenue of $993.2 million was 22% higher compared to the second quarter last year. Adjusted segment operating income was $124.7 million compared to $90.7 million in the second quarter last year. And quarterly adjusted net income was 65 -- $61.5 million or $0.19 per share compared to $0.17 in the second quarter last year. We incurred restructuring, integration and acquisition costs of $22.6 million during the quarter, relating mostly to the L3Harris Military Training and AirCentre acquisitions. Net cash provided by operating activities this quarter was $138 million, compared to $30.9 million in the second quarter of fiscal 2022. Free cash flow was $108.4 million compared to $19.4 million in the second quarter last year. The increase was mainly due to higher cash provided by operating activities and lower investment in non-cash working capital. CAE usually sees a higher level of investment in non-cash working capital accounts during the first half of the year and tends to see a portion of these investments reverse in the second half. Capital expenditures totaled $68.6 million this quarter, with approximately 80% invested in growth, to specifically add capacity to our Civil global training network to deliver on the long-term training contracts in our backlog. Income tax expense this quarter was $14.5 million, for an effective tax rate of 24%, which is higher than our annual outlook of 22%, which remains our expectation going forward. Our Net debt position at the end of the quarter was approximately $3.2 billion, for a net debt-to adjusted EBITDA of 4.17 times at the end of the quarter. We continue to expect net debt-to-adjusted EBITDA of below three times by the middle of next fiscal year. Now turning to our segmented performance. In Civil, second quarter revenue was up 40% to $507.2 million, compared to the second quarter last year, and adjusted segment operating income was up 60% to $104.4 million versus the second quarter last year, for a margin of 20.6%. Our stronger year-over-year Civil performance was mainly due to higher training network utilization and simulator deliveries. And we also integrated into our results, the AirCentre results which represented approximately 7% of Civil revenue in the quarter. In Defense, second quarter revenue of $442.4 million was up 6% over Q2 last year. Adjusted segment operating income was $18.4 million for the quarter, down from $26.7 million in the second quarter last year. The revenue growth stems from a higher level of activity on programs, while the lower adjusted segment operating income reflects higher costs associated with supply chain and labour shortages, partially mitigated by our cost reduction initiatives. And in Healthcare, second quarter revenue was $43.6 million, up from $34.9 million in Q2 last year, mainly due to increased sales of patient simulators. Adjusted segment operating income was $1.9 million in the quarter compared to a loss of $1.3 million in Q2 of last year. With that, I will ask Marc to discuss the way forward.
Marc Parent: Thanks, Sonya. The strength we saw during the second quarter gives us the confidence to reaffirm both our fiscal 2023 outlook and our long-term targets. Our outlook for Civil remains strong, with its industry-leading positioning enabling us to grow significantly through the commercial aviation market recovery and beyond. Over the last two years, we expanded our reach and capabilities to better serve our customers, while significantly improving our cost structure. We expect the rate of Civil’s commercial aviation training recovery to continue to be driven in large part by the eventual easing of remaining travel restrictions, especially in Asia, where China remains a large component of any global recovery scenario. A potential reopening in China, would also be expected to lead to further recovery in full-flight simulator sales. On the macroeconomic front, we’re watching the global energy situation closely – in particular in Europe with respect to operating costs, which have already increased across our network, and the potential for impacts on travel demand. In business aviation, the consensus view at the recent NBAA conference was highly positive, and we continue to see strong demand for pilot training. In response to market demand, we have new training capacity coming online to include our new business aviation training centre in Las Vegas, which opened last month, and Singapore, which begins operations this month. For the second half of the fiscal year, we expect Civil to grow faster than it did in the first half, and to be weighted more to the fourth quarter. We expect to deliver a higher number of full-flight simulators in the fourth quarter and to have a higher number of simulators, or SEUs, come online in our training network. In addition to continuing to grow our share of the aviation training market and expanding our position in digital flight services, we expect Civil to maintain its leading share of full-flight simulator sales and to deliver more than 45 full-flight simulators to customers worldwide. This is up from our previous outlook for 40. In Defense, our sequential growth, paired with the significant bookings and improved backlog we are experiencing, gives us confidence for stronger near-term performance. In the last two years, Defense has become the world's leading, pure-play, platform agnostic training and simulation business. We’re well positioned to address larger, more profitable and more comprehensive programs across all five battlespace domains. We’re closely aligned with national defence priorities focused on near-peer threats and the increased need for digital, immersion-based synthetic solutions. We’re uniquely positioned in this regard, being able to draw directly from CAE’s innovations in the commercial aviation simulation and training market. Defence represents a secular growth market for CAE, as the sector is in the early stages of what we believe will be an extended up-cycle, driven by geopolitical realities and increased commitments to defence modernization and readiness. The earliest indications of our success have been orders, leading to us build a more profitable backlog. We’re bidding more and we’re bidding larger, and what I see ahead is highly encouraging with a pipeline of multiple $100 million-plus programs, and a number of $1 billion-plus programs that we’re bidding over the next three years. As we replenish our backlog, we expect Defense will strengthen in the next couple of years to a low double-digit percentage adjusted segment operating income margin profile. Currently, active bids and proposals awaiting customer decisions stand at approximately $8 billion, which is nearly double the amount outstanding three years ago. Looking to the remainder of the fiscal year for Defense, we expect the current widespread macroeconomic headwinds including supply chain and labor challenges to persist for some time and that order delays will continue to be a factor. We’re focused on execution, and we’re confident in our expected stronger second half performance, which we expect to be substantially weighted to the fourth quarter. Underlying this view is our expectation for select delayed program awards to come to fruition and that we’ll be able to execute on programs in backlog. We also expect to partially mitigate these headwinds with internal cost reductions and efficiencies, which are ramping up toward the end of the fiscal year. And in Healthcare, we see potential for more value creation as it gains share in the healthcare simulation and training market and continues to build on its growth momentum and increased profitability. In terms of our capital allocation priorities, we’ve concluded a heavier than usual inorganic growth investment cycle, which spanned the last two years as we seized opportunities in a disrupted market to enable CAE to become a bigger, stronger, and more profitable company for the future. We’re now concentrating on organic investments that are made in lockstep with customer demand. We’re also focused on reducing leverage, and as Sonya indicated, we’re confident our net debt-to-adjusted-EBITDA ratio will decrease to below three times by the middle of next fiscal year, which at that time, will further increase our financial flexibility. CAE’s management and Board of Directors are also focused on reinstating and prioritizing return of capital to shareholders on a timely basis, which is a cornerstone of our main capital allocation priorities. In summary, the overall strength that we saw in the quarter and our current expectations for the balance of the year, are what allow us to reaffirm our outlook for mid-20% consolidated adjusted segment operating income growth this fiscal year, and to maintain our long-term target of a three-year EPS compound growth rate in the mid-20% range. With that, I thank you for your attention. We’re now ready to answer your questions.
Andrew Arnovitz: Thank you, Marc. Operator, we'd now be pleased to take questions from financial analysts.
Operator: Thank you. [Operator instructions] Your first question comes from Kevin Chiang of CIBC. Please go ahead.
Kevin Chiang: Thanks operator. Thanks for taking my question. Maybe just the first one here. I believe the US Department of Defense issued a memo to contractors for equitable adjustments for cost overruns just given the unprecedented inflation. And I believe CAE has applied for some of these adjustments to maybe help offset previous inflation. Just wondering where that sits -- one, if I'm correct. Two, maybe where that sits today? And I know you're starting to see maybe some of those adjustments show up either in the quarter that just ended or maybe in the back half of this fiscal year?
Marc Parent: Well, I can certainly confirm that there's a lot of effort on in that regard, Kevin, whether it be direct representation by us to lawmakers at the US capital. I can tell you about that and through combined efforts that we do with industry associations. And letters have gone out, and I fully expect action to occur there. When it happens, when it, I really can't tell you. But I've always been of the view that -- and we've shared this on the last call that we expect that we will have some measure of mitigation on some of these cost overruns that have occurred. We've made no real -- we've taken no benefit of that so far. But I fully expect in the future that will get some.
Kevin Chiang: Okay. That's helpful. And just my second question. On the last quarterly call, you provided a lot of detail on the problem contracts that resulted in the write-down, one of them with the legacy CAE defense contract. And I think one of the issues was, just the expected renewal of that contract was maybe not coming in as fast as originally anticipated, which maybe drove some of that write-down? Just any update there in terms of the bidding process for that and maybe your confidence in being awarded the renewal?
Marc Parent: Well, I would tell you that the RFP is out, and we are bidding on it. So the nature of the contract has changed. I think, it's a lot more attractive in terms of a contract. So, look, we'll see. I think, we have a very attractive bid, we're the incumbent. So I have high hopes. But we're very -- we'll be very prudent in that regard.
Kevin Chiang: Okay.
Marc Parent: And the one thing I'll tell you, which is very -- go to testament to what I was saying about in terms of changing nature of this particular contract and others is, it takes what that contract looks like. It's changed from really being at the lowest price factory assembled contract that we saw initially to now a contract that's based more on best value, that plays very well to see strength, meaning not just around cost. And the way we bid it is for the terms that are in the contract, which includes specific banding around utilization rates. So the risk that we saw in the -- on that contract where we basically bid at a certain level of utilization and the amount of utilization of the customer made, it was much higher, we wouldn't have that risk anymore. That's been completely taken out of the risk profile of the contract.
Kevin Chiang: That's good. I'll leave it there. Thank you, very much.
Marc Parent: Thank you.
Operator: Thank you. The next question comes from Fadi Chamoun of BMO. Please, go ahead.
Fadi Chamoun: Thank you. Good afternoon. Just one quick clarification first. Did I hear you mention that in Civil, you expect the growth in the second half to exceed the growth in the first half from an EBIT perspective? Is that the guidance?
Marc Parent: Yes. It is, Fadi.
Fadi Chamoun: Okay. Okay. So that's quite stronger than I think what you're expecting, maybe at the beginning of the year. What's driving that specifically in aviation? I mean, you've had some decent amount of orders year-to-date, and it looks like sequentially in the second quarter, we've had a big jump, more than seasonal jump, I would say, in the second versus the first. Like, is Asian market coming back a little bit stronger? Is there a area that kind of surprised you on the positive side? I'm just curious about the performance.
Marc Parent: No, no, I would -- sorry, to interrupt you, Fadi, look, I think as a general rule, it implies our consolidated -- the outlook that we've given for the back half, it's slightly steeper to normal. And particularly when we talk about civil, I'd say we're not yet in a normal environment. As I've said in the call, China is still really not reopen. So that's putting a lid on things there. But what you're seeing in the back half is us, first of all, seeing the benefit of all the simulator orders that we've signed this year. We've had ordinary share of orders there, very happy to see that. And so we're seeing a lot of that order take translating into deliveries in the back half and specifically in the fourth quarter. So I have very high visibility on that. Plus we're ramping up capital that we've already deployed in terms of simulators in both the commercial and business aircraft training networks. And specifically, as I mentioned in my remarks, you see that in the past months, we've opened our new Las Vegas business aviation training center you'll see us very shortly open our Singapore business aviation training center. So all those factors and the order intake, look at the order intake again this quarter at 1.8 times, both the sales of on top of revenues that are 40% higher year-over-year. So I think that's all -- that is what's translating in the growth that you're seeing.
Fadi Chamoun: Okay. Great. One question on the defense side, if I may. We get a lot of this kind of question from investors, are there in the backlog other contracts like this CAE legacy contract that you had last quarter where you are still expecting renewal, maybe contracts that are not performing to your expectations and you're still expecting renewal, or is this kind of all behind us at this point?
Marc Parent: Look, if you're referring to the charges, and I think you are, that we recognized in the first quarter, I think I've said at the time, I really see those as unique and one-off in nature. They're really not typical of the risk profile of our business. And I've been -- as you know very well, I've been at the business 17 years. And it's the first time that I've ever seen charts like that hit our P&L in a corner like that. It's not that we don't manage programs that are on watch, we've landed hundreds of programs. Some have higher margin than others, but we manage them well. So obviously, an event like this forces you and be foolish not to go back and even enhance the level of scrutiny. And of course, we've done that and I've been part of a lot of that. But I -- specifically, to your question, I don't see any similar risk in our backlog program, certainly are the ones that we see at that time. And to give you some more color, if I look at -- in terms of conditions of contracts that we're bidding these days, I was giving the example of Senate and the discipline that we're applying to those bids, it gives me a lot of confidence in our current leadership team and the expected margins that we'll be able to execute on those contracts.
Fadi Chamoun: Okay. Thank you.
Marc Parent: Thank you.
Operator: The next question comes from James McGarragle, RBC. Please go ahead. 
James McGarragle: Hi, everyone. Thanks for taking my question. I had a quick question on the increase on the defense backlog and some of the new contracts you're bidding on. Do you have any protection for any potential supply chain issues on those new contracts? I think supply chain it's a very uncertain as to when things are going to get better. And if supply chain issues were to persist, just pace for another year, another two years, could we see any risk to margins with those contracts that you're bidding on, or is there some protection kind of being built into those new agreements that you're working through right now?
Marc Parent: Well, you can be sure that the contracts that we're bidding now take into account the situation that we see now, including issues as continued inflation at the levels that we've seen. And the customers, by and large, are -- understand that reality. So just a contract that I reviewed the other day where a fairly major contract where typically, as in previous contracts, what you would have seen, you have seen fuel being an element that we would cost it there. But with the price of fuel, the way it's escalated and the unpredictably of it, the customer themselves don't want us to bid to cover ourselves because we've been that at a very high rate to cover ourselves. So what you see is specifically in that contract, which is, I think, a very good example of the kind of things that we see is we bid it basically with that component as an ODC or other direct cost. So it means it takes it out completely. It neutralizes it totally, and that's what you see happening. And by and large, in the previous answer, I was talking about this, that we're seeing a shift in contracts that's certainly the ones we're bidding on going from really lowest price wins, what's called lowest cost technically acceptable contracts to best value in the United States Defense Department. So I'm pretty confident that first of all, that the programs that we're winning that earn a backlog certainly in the last five quarters where we've seen this strong backlog increase are at profitability levels that support our objectives for low double-digit profitability. And we will -- I am quite confident we will execute them at that margin profile.
James McGarragle: I appreciate that. And my next question is on the civil business and the recovery there is predicated, obviously, recovery to pre-pandemic travel. I know you don't operate in China, but your Asia business is affected by what goes on in that country. So how that country's Zero COVID policy affected your recovery? How are you managing through that uncertainty going forward?
Marc Parent: Well, I think, I would start by saying is when you look at the margins that we're printing rate now in simple without China and the Asia market really being back, we're back to margins that are near pre-pandemic levels at near 21%. And that what you're seeing and obviously at a lower level of revenue than we saw pre-pandemic that's just showing you the cost savings that we've taken out, out of our network coming to fruition. So expect as the recovery continues to progress, which we fully expect that it will expect further margin progression in that regard. But going back specifically to your question, the way China affects us is historically, we've had a very high market share of selling simulators in China. I expect that, that will continue that the market is low right now. So we're not selling a lot of simulators in China. Right now, nobody is. As I look at how else does that China situation affect us, is that all of our training centers in Asia Pacific, the anchor customers that we have, they’re training those locations, a lot of their flights are to and from China every day. So that, obviously, affects the amount of flight activity and therefore, the amount of training actually, and that's why -- that's where there's a lot of expensive recovery in that regard.
James McGarragle: I appreciate it, and I'll turn the line over. Thank you very much.
Operator: Thank you. The next question comes from Konark Gupta of Scotiabank. Please go ahead.
Konark Gupta: Thanks operator and good afternoon everyone. I just wanted to first -- I'm trying to make sense of the defense SOI for second quarter, which was, I think, $18 million, still kind of down below the normal levels that you had before the last quarter. So I understand you have supply chain issues you mentioned and the labor issues and some order delays and all those things. But would you say, like, even if you strip out those issues, the contract adjustments that you took in fiscal Q1, that would have still like showed up at the new margin level in fiscal Q2, and that should continue. I'm like -- I'm just trying to understand like how defense SOI can go from 18% in Q2 to like significantly higher numbers in Q3 and Q4.
Marc Parent: Well, I think, I'd start by saying our Q2 performance was as we expected it to be. And as I said it would be on the last call, sequentially ahead of last quarter. Of course, adjusted for the discrete charges that we saw in Q1, of course which are, as I said, one-off. Look, we're not alone in this. Like our peers, we continue to feel the effects, some very real labor and supply challenges across the industry. And I think we're managing them well. But as well, we do see select award delays on order intake. So we're continuing to work these -- and it's specifically with regards to labor and supply changes, the way we're managing and of course, as they affect our company. We see these abating by the year-end, not going away totally, but certainly abating us. And that's where you're seeing that plus specific orders that we see coming in that we have high visibility on, gives us the confidence that we can achieve the ramp-up in defense numbers in terms of profitability in the third and especially in the fourth quarter. Now of course, one thing that I think, like me, you'll be excited about is the order intake, which continues to be very strong to get five quarters, book-to-bill higher than one with 12-month trailing book-to-bill at higher than 1.3, that really points to a strong and improved performance in the future.
Konark Gupta: Okay. That's helpful, Marc. Thanks so much. And then one more for perhaps for Sonya, I think in your comments, you mentioned that you want to reinstate, shareholder written overtime. So like a two-part question there, like, a, does that mean dividends or buybacks? And would you have to wait until the leverage ratio going down below three times before you reinstate those things?
Sonya Branco: So as we mentioned, our first priority is to de-lever. And we continue to be on track to bring our net debt to adjusted EBITDA down to below three times by mid next fiscal year. And then, we believe, we'll then be in a position to consider return on capital -- return of capital to shareholders. So too soon to really speak to the form, but with the added -- once we reach kind of a normalized balance sheet and the financial flexibility, we'll turn to returning capital to shareholders.
Konark Gupta: Okay. Thanks, Sonya.
Operator: Thank you. The next question comes from Kristine Liwag of Morgan Stanley. Please go ahead.
Kristine Liwag: Hey. Good afternoon everyone.
Marc Parent: Hello Kristine.
Kristine Liwag: Hey, Marc, maybe circling back on defense, you've highlighted some of the puts and takes there. But can you provide a more detailed bridge on how you get from 4% margin where the business is today? And how you get to a high-single digit or potentially low-double digit at some point. How much of this margin expansion is a function of lower margin contracts rolling off or better execution or better volumes to absorb some overhead or anything like that? Any more detail would be appreciated because it seems like there are a lot of moving pieces in terms of that recovery?
Marc Parent: Well, I think the components are exactly what you said. It's – we – if you look at our business and we've been talking about this for a while, we've just come up, before the five quarters of book-to-bill higher than one. We – three years before that we were at book-to-bill below one. So we're running out of backlog that's inherently inefficient, okay by itself. COVID affected us. We are working through labor supply chain challenges that the industry itself is facing. So for us, it's really rolling off contracts that are lower profitability, replacing them with contracts that we've been winning again going back to the order intake. And the orders that we're winning are accretive to the objectives that we have of low double-digit return on the DOI operating income, sorry. And so to be – look again, I said, continue to watch order intake. So order intakes the one to watch and I've been saying this for a few quarters now, and order intake is very, very good. We're – as I said we're bidding more, we're building larger. And just look at -- we've now got outstanding business proposals or $8 billion, which is a very substantial increase. So, all of those are the factors that are going to be that bridge that you're looking for.
Kristine Liwag: I see. And then Marc would you quantify on how much of that lower margin defense revenues rolling off this year to help us with modeling?
Marc Parent: We can't be that specific really at this time. Sonya, have anything you would add?
Sonya Branco: No.
Marc Parent: No. I think we have to leave it to what we've said already.
Kristine Liwag: Great. And if I could add one more maybe on commercial, you've taken up your restructuring costs – going forward can you share the magnitude of what these costs would entail next year? And also when you think about the once you fully realize the cost benefits of these actions how we should think about incremental margins?
Sonya Branco: So Kristine, I'll take this one. But the restructuring program has ended. So the costs are behind it. It ended in Q1. And as you can see it's – it's being realized already as we see it sort of go through the civil margins right as we have committed to $70 million plus of recurring structural savings and we see it, and we see it in those margins. What's up in those accounts is really the integration costs of the major acquisitions. And on the L3Harris military training that will be trailing off in the second half and Air Center will continue the integration for the next two quarters.
Kristine Liwag: Great. Thank you, Marc. Thank you, Sonya.
Operator: Thank you. The next question comes from Anthony Valentini of Goldman Sachs. Please go ahead.
Anthony Valentini: Hey, guys. This is Anthony on for Noah. How are you?
Marc Parent: Hello. Good. Thank you, Anthony.
Anthony Valentini: I just wanted to focus on the Civil segment for a second. If I'm looking at the metrics correctly here, it looks like the simulator deliveries were flat quarter-over-quarter. Utilization was down and there's less simulators in the network, yet revenues were up 6% sequentially. So, can you just like help to bridge that for me?
Marc Parent: Well, I think maybe Sonya could give you some more color, but I think as I've said in the past that, first of all margins and utilization aren't perfectly correlated -- and you see a lot of mix not all simulator orders are created equal either. They can depend quite substantially from one quarter to next just specifically for example if the data supplied by -- directly by the airline as an example. So, maybe Sonya you want to expand, or anything to expand on that?
Sonya Branco: Yes, absolutely. So, despite the deliveries being flat I think product mix was favorable it was even more favorable in the quarter and mix matters in terms of the training as well. So, less seasonality on the business jet side than the commercial side. So, that helps the margin. And you spoke to the SIMs in the network while the absolute number of SIMs was lower because we did a bit of a rationalization the SUs which drives the revenue so which simulators are active for revenue generation actually went up quarter-to-quarter.
Anthony Valentini: Okay, that's helpful. And in terms of the mix can you guys comment on the amount of deliveries that are wide-body and the amount of orders that you guys are getting that are wide-body versus narrow?
Marc Parent: We don't actually break it out frankly. So, we have people to follow-up. But I don't think that -- I don't even -- we don't have actually that data. We don't break it out that way.
Sonya Branco: Yes. We don't necessarily break it out but you can assume that it's mostly narrow-bodies.
Anthony Valentini: Okay, great. And then last one on this for me is how much is the revenue and SOI contribution in the quarter from Sabre?
Marc Parent: 7% revenue.
Sonya Branco: Yes. So 7% of civil revenue so that equates to about $35 million and a pretty strong accretive margins to the business.
Anthony Valentini: Great. Thank you so much.
Operator: Thank you. The next question comes from Michael [indiscernible] Digital Bank. Please go ahead.
Unidentified Analyst: Hi, thank you for taking the question. Maybe just on the announcement with the Qantas and Virgin. Do you expect further outsourcing of training across the airline industry given that they're facing higher costs right now in other parts of their business?
Marc Parent: Yes. I think this is a continued good time for -- in the future for outsourcing as we predicted all along. Look it's just a natural evolution of the business. We've created There is only real global third-party way to be able to do trading and we're the largest training network in the world training over one million hours of trading a year. So, we provided a huge synergy there and huge benefits to airlines and want to do it. So, yes, I continue to see more opportunities out there. We announced the big ones like you're talking about Qantas, but there's a lot that we will do overflow training and that's been a factor as well. And we're putting simulators out there on contracts to do just that. And when we do that we get long-term contracts that's going to be good going forward. So, I continue to see that as being a trend going forward.
Unidentified Analyst: Perfect. Thank you. That's great color. And maybe just on the fixed-price contracts. I saw Boeing at their Investor Day came out and said that going forward they have no longer appetite for fixed price programs. Maybe just your opinion in the industry aerospace industry as a whole do you share that view and if the industry is maybe stepping away from that moving forward.
Marc Parent: Look I can only comment about us. We bid on a contract that fit our strategy and the capabilities that we have and A lot of them are fixed firm price contracts and we're good at executing those kind of contracts. As I said, notwithstanding the -- what happened and specifically for one-off reasons last quarter, we have a very good track record of doing over multiple years. And I'm very confident that we're going to execute contracts that are fixed firm price in the future. And I think going back to what I was saying a while ago or a previous answer, what we see specifically in the US market is a shift to best value contracts. And that is very positive for CAE without specific differentiation in the market. So -- and I think the last thing to say is again in previous -- have been answered to previous question, the government does -- wants to create an environment in which case the risks are well managed. And I was using an example of fuel prices that taking that out of the equation. So I think that in summary -- to summary we'll continue to bid on contracts and whether fixed firm price or not and we'll execute them well. I'm quite confident with that.
Unidentified Analyst: Thank you. I appreciate it.
Operator: Thank you. The next question comes from Dave Lee [ph] of Odlum Brown. Please go ahead.
Unidentified Analyst: Hi. Thank you. It's [indiscernible] here. Just a clarification on the civil utilization rate. The sequential decline of 71% last quarter, it's not 66%, is that declining due to seasonality COVID or are there some other factors involved there?
Marc Parent: Mainly seasonality.
Unidentified Analyst: Seasonality. Okay. Okay. And in terms of looking longer term at the utilization rate I think prior to COVID around the mid-70 range. Is that -- do you expect to get back to that kind of range longer term, or do you expect it to be higher or kind of lower?
Marc Parent: I can't see any reason why not that we're operating in the US at a much higher rate than that right now. And so look there's no natural reason why that was up. It's really going to be a link as it always is to the amount of flying that are done by the airlines and business aircraft. So -- and that's sort of a very higher rate. As I said business circa stabilizing at flight level, flight activity about 20% over prior to COVID period. And I see that continuing. So I think that's going to be pretty good. And historically, I think the reason I use that example of a business aircraft is usually that will be a lower utilization by the very nature that we don't train as much on a back end of the cockpit like in business aviation. So inherently brings the utilization level down even though it's still very good revenue.
Unidentified Analyst: Great. Okay. Thank you.
Andrew Arnovitz: Operator I want to thank members of the investment community for questions. And now we'd like to open the line to members of the media for any questions from media. Please go ahead.
Operator: [Operator Instructions] The first question comes from Stephen [indiscernible]. Please go ahead.
Unidentified Analyst: [Foreign Language]
Operator: That was our final question. I'll turn the call back over to our hosts for any closing remarks.
Andrew Arnovitz: Thank you, operator and thanks to everyone for joining us on the call today. I'd remind you that a transcript of today's call will be located on CAE's website for future reference. With that, I wish everyone a good afternoon.
Operator: Thank you. This does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you and have a good day.